Operator: Ladies and gentlemen, welcome to the Sensus Healthcare Third Quarter Financial Results Conference Call. All participants are currently in a listen-only mode. We will conduct a Q&A session at the end of the conference. [Operator Instructions] And I will now turn the program over to Kim Golodetz.
Kim Sutton Golodetz: Thank you. This is Kim Golodetz with LHA. Thank you all for participating in today’s call. Joining me from Sensus Healthcare are: Joe Sardano, Chief Executive Officer; and Javier Rampolla, Chief Financial Officer. As a reminder, some of the matters that will be discussed during today’s call contain forward-looking statements within the meaning of federal securities laws. All statements other than historical facts that address activities Sensus Healthcare assumes, plans, expects, believes, intends or anticipates and other similar expressions will, should or may occur in the future are forward-looking statements. The forward-looking statements are management’s beliefs based on currently available information. Sensus Healthcare undertakes no obligation to update or revise any forward-looking statements except as required by law. All forward-looking statements are subject to risks and uncertainties, including the continuation and severity of the COVID-19 pandemic and its impact on sales and marketing as described in the company’s Forms 10-K and 10-Q. During today’s call, there will also be reference to certain non-GAAP financial measures. Sensus believes these measures provide useful information for investors, yet should not be considered as a substitute for GAAP nor should they be viewed as a substitute for operating results determined in accordance with GAAP. A reconciliation of non-GAAP to GAAP results is included in today’s financial results press release. With that said, I’d like to turn the call over to Joe Sardano. Joe?
Joseph Sardano: Thank you, Kim, and good afternoon, everybody. Thank you all for joining us today. When I last spoke with you in August for our Q2 conference call, we believed that business was starting to get back to normal as we resumed in-person sales calls. And indeed, the third quarter and subsequent weeks featured several encouraging events that bode well for continued sales growth, not only in the fourth quarter, but through 2022, we believe we have turned the corner. And the impact of the pandemic is now largely in the rearview mirror. I’m pleased to share with you what we’re seeing that gives us such encouragement. First, our domestic business is significantly improved compared with the pandemic impacted third quarter of 2020. Q3 revenues of $5.5 million were up 244%. And although modest, we reported our first profitable third quarter in the company’s history, with net income of $200,000 and diluted earnings per share of $0.01. We shipped 14 systems during the third quarter, including 8 premier priced SRT-100 Vision systems. This growth reflects our abilities to effectively describe the attributes of our superficial radiation therapy systems for the treatment of non-melanoma skin cancer and keloid scars. As we continue to educate our market on the new CMS reimbursement schedules made available to SRT treatments, effective January 1, 2021. Our sales staff is at its best, when we are able to discuss these attributes directly with prospective customers. And in-person demonstrations and physician visits, we were able to conduct, made a huge difference. We are highly encouraged by the reception of our fair market value lease program that has been received to date. Our physician customers are beginning to take advantage of this offering and its ability to provide a positive ROI for the SRT-100 Vision by treating just 2 patients per month. Recall that the Vision has many features that make premium attractive. Along with image-guided ultrasound capabilities, the Vision includes Sentinel, a powerful IT platform that provides Sensus with the opportunity for remote diagnostics, while providing customers with asset management capabilities, as well as HIPAA-compliant patient data collection. With respect to improved reimbursement, our organization has done an excellent job in articulating the new CMS reimbursement rates that went into effect at the start of the year, along with the benefits of SRT to a growing number of physicians. This has led to improved patient volumes at customer sites as well. Recall, that CMS issued new reimbursement amounts for CPT treatment codes, ultrasound coding for the SRT-100 Vision system, and E/M codes. The combination of these higher values provide SRT users as much as a 55% increase over the reimbursement amounts of the past several years. Compound this with significant reductions in most surgery and related biopsies, our SRT technology provides a strong financial argument complementing any dermatology practice. Note, that we continue to see increasing volumes for SRT systems installed at customer sites, owing not only to the higher reimbursement codes, but because SRT became so much more prominent in the midst of the pandemic, while surgeries were held to a minimum. We believe this positive shift resulted in a best practice towards SRT, and will be a permanent fixture in the dermatology process. We were so excited to be live in Las Vegas last month, at one of the most prestigious gatherings of dermatologists, the Fall Clinical. Our SRT systems were well received as our special group of KOLs provided very positive presentations for SRT’s impact on treating non-melanoma skin cancer and keloids during COVID, along with the new reimbursement values for our codes. The venue provided us with an excellent platform to demonstrate our product offerings to more than 1,200 practitioners in person and more than 500 virtually. This is always an important trade-show for us. But because we had the opportunity to demonstrate our technology in person for the first time in almost 2 years, the excitement was palpable. Interest in our products and the number of new sales leads both were very robust, with excellent foot traffic at our booth on the trade-show floor. We have assembled an impressive roster of leads for follow-up in the coming months. And we were very excited about the potential conversion of these leads into customers. In addition, new and updated data on the safety and efficacy of superficial radiation therapy, as well as image guided SRT, and discussions of improved reimbursement supported our presence. In particular, a session titled new and future innovations in dermatological care was led by a panel of key opinion leaders: Dr. Brian Berman of the University of Miami Miller School of Medicine; Dr. Mark Nestor of the Center for Clinical and Cosmetic Research, and the Center for Cosmetic Enhancement in Aventura, Florida; Dr. Michael Gold, founder of Gold Skin Care Center and Clinical Assistant Professor at Vanderbilt University; and Dr. David Goldberg, founder of Skin Laser & Surgery of New York and New Jersey, Clinical Director and Professor of Laser Research, Department of Dermatology at New York’s Icahn School of Medicine at Mount Sinai. International sales continue to be promising, in particular in China, where we engaged a new distributor partner late last year. During the third quarter, we sold another SRT system in China, our sixth of the year. We expect to sell additional systems in China in the coming months. Importantly, early in Q4, the Chinese Health Authority renewed our license to market the SRT-100 system for an additional 5 years. This new license runs through December 2026 and covers the sale of our superficial radiation therapy to treat non-melanoma skin cancer and keloids. We call that China is an important market for our products accounting for 20% of the world’s population. The indication for the SRT-100 to treat keloids, which we’ve received in 2017, is our particular interest to women and their physicians to prevent and treat keloids following cesarean section. We currently have 46 systems installed in hospitals throughout China. We also are expanding our focus to India for further international growth, and are hopeful to record our first sale there in the near future. In addition, we’re finalizing plans for a new distributor in Taiwan. Research work with Sculptura continues at Stanford. Although delays in hospital market due to COVID have stalled development, we believe that research to support various oncological indications will resume by the end of the year and the resumption of Sculptura sales will begin towards the end of 2022 once clinical data becomes available. We are pursuing new indications for our SRT systems as well. As you know, during the first quarter, we shipped the system to Holy Name Medical Center in Teaneck, New Jersey, as a pilot program in the use of SRT to treat the lungs of COVID-19 pneumonia patients. The hospital has used the system on several patients to date and plans to prepare a paper for publication. While we are thrilled to help play a part in the treatment of recovery of COVID-19 patients, note that this program is out of our hands and is completely managed by Holy Name. We’ll certainly report back to investors when this paper is published, and we can’t put a timeline as the availability to treat COVID patients is that an all time low, thank goodness. We will continue to pursue collaboration with interested institutions, who believe in our low-dose radiation solution for COVID-19 patients. As a reminder in evaluating this opportunity, history showed a very successful approach to treating pneumonia with radiation going back nearly 75 years. Our SRT systems are well suited for COVID-19, because they are portable and allow for bedside treatment in the ICU. Another indication for SRT is in the veterinarian market. Earlier this year, we shipped an SRT system to Colorado State University Veterinary School, and announced the first treatment on a canine. CSU is continuing to treat cats and dogs and is now preparing to begin to treatment protocol for horses. Tumors are common in horses and the use of SRT, especially around the eyes is a promising therapy. We hope to report data from CSU at some point in the near future. As you know, we’ve expanded our operations into aesthetic laser business. The strategy behind the acquisition of mobile aesthetic laser companies last year in the formation of Sensus Laser Aesthetic Solutions, or SLAS, were smart steps to increase our customer base provide a beachhead for further acquisitions, and improve access to laser technology. The integration of our Sentinel IT Solutions software into our proprietary lasers is complete, and these lasers are now available through SLAS. We implemented creative rental and leasing options for our lasers, and believe the combination of Sentinel Technology, which provides asset management and HIPAA-compliant patient data and storage capability, and also contains the software to support shared service models, including direct patient billing, is an important avenue for growth. We also have been actively evaluating an expansion to our mobile aesthetic laser business beyond Florida via strategic transactions in geographies, where we have an existing SRT customer base. In particular, we see Texas, Georgia and Arizona as top prospects to roll into the SLAS division. Over the long-term, we expect SLAS become a meaningful source of recurring revenue. Before I turn the call over to Javier to review our financial results in more detail, I want to impress upon you our optimism for the rest of the year. The resumption of significant sales following peak pandemic months and a robust backlog of orders along with a keen focus on expenses position Sensus for a profitable fourth quarter and full year. With that, I turn the call over to Javier. Javier?
Javier Rampolla: Thanks, Joe. It’s a pleasure to be speaking with all of you this afternoon. As Joe mentioned, revenues for the third quarter of 2021 were $5.5 million, and this compares with revenues of $1.6 million for the third quarter of 2020, which was adversely impacted by the start of the COVID-19 pandemic. Revenues for the 2021 quarter reflects the sale of 14 SRP systems, including 8 premium SRT-100 Vision systems and 1 SRT-100 system shipped to China, as well as service contracts and our new mobile laser business. We’re cautiously optimistic that the worst of the pandemic is behind us, although we’re watching the variants in some of our targeted sales area for any impact. Cost of sales for the third quarter of 2021 was $2.3 million compared with $0.9 million for the prior year quarter. The increase reflects higher sales during the 2021 quarter. Gross profit for the quarter of 2021 was $3.2 million, or 57.9% of revenue, and this compares with gross profit of $0.7 million or 41.5% of revenue for the prior year quarter. The increase in gross profit was primarily driven by the higher number of units sold in 2021, service revenue on installed units and the impact of COVID-19 on the 2020 quarter. Selling and marketing expense for the third quarter of 2021 was $1.2 million, up from $1 million for the third quarter of 2020. This slight increase was primarily due to higher commission expense. General and administrative expense for the third quarter of 2020 was $1.1 million, compared with $1 million for the third quarter of 2020. The increase was primarily due to higher stock compensation expense. Research and development expense for the third quarter of 2021 was $0.7 million compared with $0.9 million for the prior quarter. The decrease was due to lower spending as the Sculptura project entered the production phase during 2020. Our net income for the third quarter of 2021 of $0.2 million, or $0.01 per diluted share, compares favorably with a net loss in the prior year third quarter of $1.7 million or $0.10 per share. Adjusted EBITDA, which is defined as earnings before interest, taxes, depreciation, amortization and stock-compensation expense was positive $0.5 million, compared with a negative $1.5 million in the third quarter last year. I will briefly review our year-to-date financial results. Revenues for the first 9 months of 2021 were $14 million, compared with $4.5 million for the first 9 months of 2020. The 211% increase was primarily driven by higher number of units sold in 2021, service revenue on installed units and the impact of COVID-19 on the 2020 period. Cost of sales of $5.9 million for the first 9 months of 2021 compared with $2.5 million a year ago. The increase was due to higher sales in the 2021 period. Gross profit for the first 9 months of 2021 was $8.1 million, or 58% of revenue, compared with $2 million or 45.1% of revenue for the first 9 months of 2020. The increase in gross profit was primarily driven by the higher number of units sold in 2021, service revenue on installed units and the impact of COVID-19 on the first 9 months of 2020. Selling and marketing expenses was $3.5 million for the first 9 months of 2021, compared with $4 million for the first 9 months of 2020. The decrease was primarily attributable to lower tradeshow expense due to cancellations related to COVID-19, reduced marketing activities including travel and lower salary and benefit expenses due to reduced headcount, partially offset by an increase in commission expense. General and administrative expense was $3.5 million for the first 9 months of 2021 compared with $3.2 million for the prior year period. The increase was primarily due to higher legal and professional fees, public company expenses and insurance premium costs. Research and development expense for the first 9 months of 2021 was $2.3 million, compared with $3.3 million for the first 9 months of 2020. The decrease reflected lower spending as the Sculptura project entered production phase during 2020. Net loss for the first 9 months of 2021 was $1.2 million or a loss of $0.07 per share, compared with a net loss of $7.9 million, or a loss of $0.48 per share for the first 9 months of 2020. Adjusted EBITDA for the first 9 months of 2021 was a negative $0.4 million, compared with a negative $7.1 million for the first 9 months of 2020. Turning now to our balance sheet. Cash and cash equivalents as of September 30, 2021 were $16.4 million, compared with $14.9 million as of December 31, 2020. The company has no long-term debt, and $0.1 million in outstanding borrowings under the COVID-19 Paycheck Protection Program, as of September 30, 2021. We are confident that with our ongoing attention to expense management along with the current cash and access over existing revolving credit agreement, we continue to be financially well positioned to support our expected growth for the remainder of 2021 and beyond. As a final comment, please see the table in the news release we issued earlier today for a reconciliation of GAAP to non-GAAP financial measures. With that, I’ll turn the call back over to Joe.
Joseph Sardano: Thank you, Javier. Our third quarter results reflect the dedication of the entire Sensus team. And I’m so very proud of the way all pulled together during the pandemic to keep our company going, knowing that our products are so important to the health of so many. We kept the Sensus name in front of our customers, being helpful to them in whatever way we could, while the world stood still during the pandemic. We’ve now hired back the vast majority of our pre-pandemic sales team. And it’s a testament to Sensus that we have been able to backfill our sales team to pre-COVID numbers. We have plans to expand the sales organization to support the opportunity we face. Each quarter, I remind you that our products have enormous room to grow. Our SRT systems are well-positioned in a large market, consisting of some 14,000 dermatologists and 1,000 Mohs surgeons in the U.S., representing more than 7,500 offices and growing, not to mention a further 6,500 plastic surgeons and 5,500 radiation oncologists. Our SRT systems provide a compelling alternative to surgery for millions of patients, and arguably the only solution to prevent the recurrence of keloids following surgical excision. Before we open up the call for questions, I want to mention that we were delighted to be invited to participate in the 12th Annual Craig-Hallum Alpha Select conference being held on November 16. This is a one-on-one and small group meeting virtual format. Later, to kick off the New Year and as a sign of recovery, we expect to be participating in one-on-one meetings with our Investor Relations agency, LHA, in San Francisco, concurrent with the J.P. Morgan Healthcare Conference, the second week of January. I hope to meet with many of you in person there. With those comments, I’d like to thank you for your time and attention. And now, operator, we’re ready to take questions.
Operator: [Operator Instructions] And it looks like our first question will come from Alex Nowak. Alex, your line is now open.
Connor Stevenson: Hey, good afternoon, everyone. This is Connor. I’m for Alex. Thanks for taking the questions. My first question kind of revolves around the reimbursement. With the recent payment fee schedule published, were there any changes that we should be aware of that would have an impact on reimbursement for the SRT system?
Joseph Sardano: None.
Connor Stevenson: Okay.
Joseph Sardano: What they published on the January 1 usually goes for the entire year. So, until there’s any indications to changes, they usually give forewarning to the people about changes. They just don’t do them arbitrarily overnight. So, there has been no indications and we don’t see any anything forthcoming.
Connor Stevenson: Sure. Okay. And then, on the mobile laser business, it’s kind of integrated into Florida now. Can you share any progress that you have about kind of integrating that into new geographies and kind of what we should expect to hear in 2022?
Joseph Sardano: Well, we have a very nice model of providing services to a huge customer base of over 400 physicians that are renting these lasers on various levels, being daily, weekly, monthly and annually. And so, those customers had to recover during the COVID pandemic, just like everybody else. And we’re starting to see that business rise. So, how we want to integrate, we want to approach operators in these other cities that we mentioned, and surround our existing customer base with an operator that is servicing a larger customer base on a rental basis. So again, like I’ve mentioned before, we’re not looking for the biggest, but we’re looking for the best operators, along with their customers that have the longest tenure, the longest relationship. So we feel that integrating them into our program in those areas can provide us with a nice roll-up opportunity of these operators throughout the country.
Connor Stevenson: Sure. Thank you.
Joseph Sardano: Thank you, Connor.
Operator: All right. Looks like our next question will come from Anthony Vendetti. Anthony, your line is now open.
Anthony Vendetti: Thank you. Joe, I was wondering if you could just talk a little bit more about the conference you just attended and the physician response. And is that a conference where you can actually take orders, if so, were any recorded at this particular conference? Or is that more at AAD?
Joseph Sardano: It’s more at AAD. But this was – for us, it felt like a homecoming. It was the first meeting in 2 years. You had the dermatology community that is very, very close, all come to the Fall Clinical. I would say that the majority, 60% of the physicians that came, came from mostly the central parts to the West Coast of the country. So we were very excited to see everybody. We had KOLs, that made excellent presentations. And it was the first time that you could make a presentation live, talking about what the new reimbursement codes were all about, and how it significantly impacted skin cancer patients. So, there were regular panels that were headed up by the doctors that we mentioned. And then, there was a full panel in an evening session, where we had – the original session was about, I would say, 700, 800 people in the room, and then, specifically for a dessert session that lasted about 10, 15 minutes. As a follow-up, we had a panel of all those doctors talking to about 80 to 100 docs that were keenly interested in the product. So, we’re excited. Most of those customers, if not, all of them came by the booth. We have several prospects that could close before the end of the year, based on what we have from that meeting. We have our salespeople working on them now. And I think the combination of learning about the reimbursement codes, along with the new coding that is being used, and the fair market value lease, really, really helped us distinguish ourselves from previous years and talking directly to the doctors, as we’ve been doing one on one with our salespeople going around. So having that many people in one room listening to the same thing all at once was a real help for us.
Anthony Vendetti: Okay, great. That’s good color. And then, can you talk a little bit more about the aesthetic laser business, your expansion there? Obviously, we know about the 2 mobile units that you purchased last year. Can you tell us if that business has picked back up and what your plans are there?
Joseph Sardano: Yeah, well, that business, we’re seeing an organic growth with that business coming back, because the practices are coming back. And the doctors and their clinics are seeing a lot more patients than before. So we’re seeing 2 types of customers now. The regular customer that we had before that rented on a regular basis; and now, the customers that are seeing an overflow of patients coming to their offices that don’t have the existing capacity. Even though they might have some existing equipment, they need systems for excessive capacity that we’re seeing. So, implementing our products now into that field is going to help physicians get to know our products a whole lot better and getting to know and understand what Sentinel can do for their practices, because of the ability to store patient data automatically on the cloud and retain that information for future references when these patients come back, because let’s face it, most of these patients are repeat customers, they come back on a regular basis, whether it’d be quarterly or whatever, for maintaining the look that they want to maintain. So having access to that data at any time or at the touch of their fingertips, and even more importantly, being able to bill those patients at the moment that they receive that service, whether it be from a credit card or from their bank account. They get that money before that patient leaves the office which is a huge advantage for the customer as well. So we’re starting to see that business picked up quite nicely, and I think that for us with one of the challenges that we had. We have new products and we have no place to go with the new products, none of the shows were live. It’s difficult to bring these new products when you’re breaking in. So this meeting will be helpful. We have the South Beach Symposium, which will be more of a local Florida show, if you will in February, and then we have the AAD in March. So we’ve got some soft introductions of these products directly to the consumer, who wants to buy and we still have an opportunity to provide these products about 400 customers in Florida, who are looking to rent. So we’re exposing the products little by little, and I think that will grow from there.
Operator: All right. Looks like our next question will come from Ben Haynor. Ben, your line is now open.
Benjamin Haynor: Good afternoon, gentlemen. Can you hear me all right?
Joseph Sardano: I can hear you loud and clear, Ben. Thank you.
Benjamin Haynor: Got it. Thank you, guys. So you mentioned earlier the backlog of orders, are you waiting on anything supply chain related? Or is that just quantity of orders type of things? And then, if you could kind of characterize it, in terms of how quickly you might work through that backlog, any visibility that you can provide that would be helpful?
Joseph Sardano: Sure. I think that the end of Q2 and the start of Q3, and all during Q3, we received excellent feedback from the prospects that we were talking to, and from – our main customer, and so on. So, we’ve putting all of those things together, we started picking up backlog orders, and we had to provide additional orders to our manufacturer to develop in to build more units. And so, we know that there’s a leeway to getting all of the components that we needed, it’s far and above what we thought, we needed for the entire year to begin with. We wanted to see the market reaction. But we’re seeing the market reaction, and I can safely say that we have backlog products under contract that are being built as we speak to be delivered well before the end of the year, so that we can recognize revenue. And that’s why we have this confidence level of saying that we will be profitable for the year, because the numbers are already there, the orders are already in.
Benjamin Haynor: Okay, that’s helpful. I mean, I’m not trying to throw stones or anything, but is there a possibility that you have visibility into Q1, not because of slippage reasons, but just because of backlog is the – of a size that would necessitate it?
Joseph Sardano: Well, I’m glad you asked that question. But I can tell you that Javier and I have been very active over the last couple of days. And we’re starting to gain more insight as to what we’ll have for Q1. And, although, I’m not prepared to talk about Q1 at this point, I think that we’ll be very clear on what we’re going to achieve in Q1 as we finish out Q4, and the entire year for 2021.
Benjamin Haynor: Okay, so it sounds like going forward, you may even have – well, you may have quite a bit more visibility barring reemergence of a COVID variant or whatever then you had in the past, is that fair?
Joseph Sardano: Yeah, let’s put it this way, the market is reacting post-COVID. And in order to stay ahead of the supply chain problems that exist, not that we’re experiencing any, but in order to stay ahead of it, I think it’s even more important for us and our customers to realize that there could start seeing leeway, or some time in between the time we manufacture, get the order manufacture and deliver. So that’s all a good problem to have. And we’re putting pressure on the system to deliver what we’re getting.
Benjamin Haynor: Okay, great. That’s very helpful. And then, lastly for me, you mentioned the distribution partner in China, sounds like things are going pretty well there. But you’d also – could you also to give us more color, and then curious about the new distributor in Taiwan, what do you see that market looking like? Is there kind of a reimbursement already in place or any characteristics that you can share, would be helpful?
Joseph Sardano: Okay. Well, we’re very, very happy with the way we’re handling China, as you know, our new VP of International Sales is a Chinese national, who’s an American citizen who works very, very hard and he is very knowledgeable with 16 to 20 years of experience in the international market and very well connected, particularly in China. So our distribution partner there is an excellent one. We see them with progressing with some of the trade shows and some of the internet exposure that they’re providing to our product and our technology. And we’re seeing some additional signs that we’ll be able to deliver some more products there in the fourth quarter. They suffer the same things that we see here in the U.S. in that, the government owned hospitals, of which those are the majority are under a lot of pressure, because of COVID problems that are happening there. Their numbers are not as low as us. Okay. They continue to experience problems. But the private health care market is very, very active, and has an opportunity to really capitalize on everything that’s going on there. So that’s where we’re seeing a lot of our business coming from is from the private sector and we’re very excited about that. Now, even though that’s just a fraction of the entire business in China, it’s a big business, probably as strong as we have here in the United States, if not, stronger, because of the numbers. So we’re very excited for those opportunities. The other thing is, in Taiwan, I’m not going to talk a lot about it, because we’re about to sign up the distributor there. But, there’s no barriers to market there with regard to what they can use it for, and any of the clearances that we have. We already have the clearances in Taiwan, so it’s just ready to go into sell. How big is that market? I don’t anticipate it to be as bigger market as the U.S., I would maybe say that, it’s something that we could get anywhere between 1 and 5 systems a year, which will take all day long. So we’re very excited to break into Taiwan.
Benjamin Haynor: Excellent. Well, thanks for the color there, gentlemen. And that’s all I have.
Joseph Sardano: Thank you, Ben.
Operator: All right. Looks like we have a follow-up from Anthony Vendetti. Anthony, your line is now open.
Anthony Vendetti: Yes, thanks. Just internationally, Joe, just wondering if you could talk a little bit about China, I know you have a new distributor there, how that’s been going, any color there? And then a little bit on your expansion into India, any comments there?
Joseph Sardano: Yeah. Sure. The – like I just previously mentioned, I think that we’re going to sell some more units into China. So we’re excited about that, I don’t know exactly how many. But I think that we’ll have a few Q4 sales that will go into China. The Indian market, we have been opened by the Indian government to be able to sell there, we’ve identified 1 or 2 distribution opportunities, which we will pursue and probably sign up in the fourth quarter, which will give us an opportunity to start selling there in the first part of next year. But that is a very, very big market, there’s a huge private healthcare segment in their health care business overall, and that’s the side that we’ll probably be able to penetrate the most.
Anthony Vendetti: Okay. Just, lastly, any update on Sculptura in terms of pipeline there? And then, I’ll hop back in the queue.
Joseph Sardano: Sure. Things are going very well with our friends at Stanford, they are taking the lead. They are working on their protocols with their investigational review board, they will establish those protocols. Hopefully, they’ll be made apparent very, very soon to us. And, I think that at some point in the first quarter, they’re going to start treating patients. And which means that we should start seeing results or information regarding the results in treating those patients around mid-year next year. And I’m anticipating maybe a sale or 2 by the end of next year.
Anthony Vendetti: Okay, great. Thank you so much.
Joseph Sardano: Thank you.
Operator: All right. Looks like our next question is from Yi Chen. Yi, your line is now open.
Yi Chen: Thank you for taking my questions. Do you expect to experience any supply chain issues related to manufacturing of the components or logistics?
Joseph Sardano: Yi, we’ve been very aggressive and outward with all of our suppliers beyond our manufacturer distributor. We go directly to the source so far with everything that we’ve talked to them about. They don’t see any problems with any of our supply chain and being able to provide us products for what we need to deliver this year as well as going into next year. So it’s not to say that there won’t be, because as one of the CEOs of one of the big companies told us, he said, we feel very comfortable, we’re going to deliver everything to you. But every time you ask for something, you never know if something pops up from one of your suppliers, but we have plenty of suppliers backing up our original suppliers, so they feel comfortable. So, if they’re comfortable, I can only relay that information and we also feel comfortable with our manufacturers. So we feel that we’re going to get the products out that we need to get out this year.
Yi Chen: Got it. And just to clarify about the clinical data from the studies with Sculptura. So we are not – we should not expect any clinical data to be released this year from the University of Pennsylvania?
Joseph Sardano: No.
Yi Chen: Okay. Got it. Thank you.
Joseph Sardano: Thank you, Yi.
Operator: [Operator Instructions] And it looks like our next question will come from James Terwilliger. James, your line is now open.
James Terwilliger: Okay, thank you. Joe, can you hear me?
Joseph Sardano: I can hear you loud and clear, James. How are you?
James Terwilliger: I’m doing well. Congratulations on, what I think is a great quarter and some extremely positive tone, it’s nice to see things get back to normal and open up. Most of my questions have been answered, but the one we just had on the supply chain. But here’s another way to look at that. With the reimbursement that you’ve had out there and kind of the success that you’re having, how are your – I know a lot of companies are trying to slowly increase pricing, has there been any change in pricing? As you look at this SRT technology in the model, any change of that going forward in terms of a pricing?
Joseph Sardano: We haven’t made any major announcements or anything like that, but our pricing has slowly creeped up over the last year, year-and-a-half. So you’re starting to see our average selling prices for the various products increasing significantly. I would tell you that 3 years ago, in 2019, average selling price for the SRT-100, or SRT-100+, which was just being announced, was somewhere between $195,000 to $200,000. The price for those products right now are somewhere in the $205,000 to $210,000 range. And the pricing for the Vision product has creeped up from $370,000 to $380,000.
James Terwilliger: Fantastic and excellent. My second question really is on the Salesforce. And I know a lot of people are trying to hire sales and a lot of people are having a tough time with hiring people. There is an employment issue, wages issues out there. Could you remind me, as you’ve kind of navigated COVID, what is the current sales-force? And how do you see any changes to that sales-force in terms of headcount, as you move into the fourth quarter and then into 2022?
Joseph Sardano: Yeah, our total sales and marketing force is 20. People, we want to increase it by 4. There’s a lot of people that are out there looking for work. The differences these days is making the right decision on the right people, because there are so many candidates. And there are a lot of people that want to come from our industry, that want to come to Sensus, because I think they’re seeing a growth in our company. And we’re advertising a growth, because we want to bring on the good people. But the process of interviewing is taking a lot longer, because there is just so many applicants. And like I said, we don’t want to leave anybody behind. We want to make sure that we get the right people on board. And so, we’re looking for all the Sidney Crosbys and Mickey Mantles out there.
James Terwilliger: Excellent. I think the Penguins play the Flyers tonight, actually. That I’ll be watching them and I’ll be writing you a note. But I think your notes going to write it. So last question. I’m a big fan of the installed base. I think that’s a huge intangible asset several people missed. Could you remind me again of what is the current worldwide installed base?
Joseph Sardano: Yeah, we’re at 529 right now. And I will say that we’ll be well over 550 by the end of the year.
James Terwilliger: All right, fantastic. Thank you. And, again, congratulations on a very, very good quarter, not just a good quarter, but a good quarter during very, very difficult and challenging times.
Joseph Sardano: Thank you.
James Terwilliger: Oh, I’ve got one more. One more. I’m sorry. I lied.
Joseph Sardano: Go ahead. Shoot.
James Terwilliger: Did you see much of a slowdown with the Delta COVID variant in terms of your operations in Florida and Texas? Where I’m trying to go is these are good numbers. I guess my question is, could they have been better? Did you see anything with Delta impacting your operations?
Joseph Sardano: It didn’t really impact us that much. And partly because as of this moment, my understanding is that Florida has one of the lowest numbers of COVID patients out there. So whatever that spike was, we recovered very, very quickly. Those patients that were numerous numbers from 19 to 35 years old, that weren’t vaccinated, for whatever reason, got healthy very, very quickly, and are out of the hospital and the numbers in the hospitals are very low these days.
James Terwilliger: All right, fantastic. Now, that is my last question. But again, congratulations on a good quarter. Keep up the good work and I’ll talk to you soon. Thanks for taking my questions.
Joseph Sardano: Thank you, James. I appreciate it. Thank you.
Operator: All right, looks like that concludes our Q&A session. So, go ahead for closing remarks.
Joseph Sardano: Okay, so in closing, I want to thank you once again for your time this afternoon and for your continued interest in Sensus Healthcare. We look forward to our next financial results conference call when we report our full year in late February and to seeing some of you in San Francisco in January. In the meantime, be well everyone and thank you so much for your continued interest and support of Sensus Healthcare. Thank you.
Operator: Ladies and gentlemen, this does concludes your call. You may now disconnect your lines and thank you again.